Operator: Greetings. And welcome to the Grocery Outlet Fourth Quarter 2021 Earnings Results Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Arvind Bhatia, VP of Investor Relations. Thank you. You may begin.
Arvind Bhatia: Thank you. Good afternoon, everyone. And thank you for joining us on today's call to discuss Grocery Outlet's fourth quarter 2021 financial results. Joining me on today's call are Grocery Outlet's Chief Executive Officer, Eric Lindberg, President, RJ Sheedy, and Chief Financial Officer, Charles Bracher. Following our prepared remarks, we will open the call for questions. This conference call is being webcast live, and a recording will be available via telephone playback for approximately two weeks. It will also be archived in the Investor Relations section of our website. Participants on this call will make forward-looking statements, including our outlook for fiscal 2022 and future performance. These forward-looking statements are subject to various risks and uncertainties that could cause our actual results to differ materially from these statements. A description of these factors can be found in this afternoon's press release as well as in our periodic reports we file with the SEC, all of which may be found on our website at investors.groceryoutlet.com or on sec.gov. We undertake no obligation to revise or update any forward-looking statements or information. These statements are estimates only and not a guarantee of future performance. During our call, we will also reference certain non-GAAP financial information, including adjusted items. Reconciliations of GAAP to non-GAAP measures as well as the description, limitations and rationale for using each measure may be found in the supplemental financial tables included in this afternoon's press release and our SEC filings and the Investor tab for our website. With that, it is my pleasure to turn the call over to Eric.
Eric Lindberg: Thanks, Arvind. Good afternoon, everyone. And thank you for joining us for a discussion of our fourth quarter results. We are very pleased with our fourth quarter performance, which exceeded our sales and gross margin expectations and reflected sequential improvement in trends from the third quarter. Comparable store sales declined 1.2% and on a 2 year stack basis increased 6.7%, an acceleration of almost 200 basis points from the third quarter. This performance reflects strong execution across our business. I'm incredibly grateful to our corporate teams for their hard work, as well as for our operators whose commitment to serving their communities is unwavering. Looking back at fiscal 2021, we successfully navigated macro challenges, including the pandemic, and global supply chain issues. Despite these headwinds, we leveraged our flexible business model to deliver customers the unbeatable deals and exciting treasure hunt experience that they love. We expanded our store base with the opening of 36 new stores in 2021, representing over a 9% growth on a net basis. We remain pleased with our new store productivity across markets. In addition, we embarked on several new initiatives to expand our reach and increase share of wallet, including an e-commerce pilot and strategically expanding our product assortment. As we look at quarter-to-date trends, sales continued to improve, reflecting increases in both ticket and traffic versus the prior year. Looking ahead, we remain confident that the strength of our model, combined with our strategic initiatives will drive incremental top line growth. Furthermore, we anticipate a more favorable operating environment for our extreme value model, as consumer's content with continued inflationary pressures and reduced stimulus support. To that end, we remain committed to our unique value proposition, namely providing the best value in grocery retail to our customers. In an inflationary environment, the incredible savings we offer customers become even more important, providing an opportunity to both increase our share of wallet, as well as reach new customers. Despite ongoing supply chain disruption, our purchasing team continues to find exciting deals, and we are pleased with our assortment across departments. Our independent operators have done an amazing job delivering these exceptional values and the WOW! shopping experience to their local communities. While the past year presented our IOs with unprecedented challenges, It rose the occasion in order to serve their customers, and we continue to invest in systems and process improvements to support them. With that same goal in mind, we recently realigned our organizational structure to streamline and strengthen corporate resources available to IOs, while continuing to support their local decision making and independence. To lead this effort, we promoted Pam Burke to the newly created position of Chief Stores Officer. Pam has a deep understanding of our culture and business model and has forged strong relationships with IOs over her 6 years of grocery outlet, making her a uniquely qualified person for this role. She's been met with a warm welcome during her store visits over the last few months. Under Pam's leadership, we are confident that we can more effectively support IOs in growing their businesses by leveraging resources and best practices. Turning to marketing. In 2021, we enhanced our messaging to emphasize not only our industry-leading prices, but also the broad selection of top brands and the full shop that we provide. As we look to further evolve our marketing approach, we remain on track to expand our personalization efforts and plan to pilot a mobile app by the middle of this year. This will enable us to communicate new products and in-store values directly to customers based on their individual preferences, which we ultimately expect will drive higher trip frequency and share of wallet. Another initiative that will allow us to extend our reach is e-commerce. We are excited to have our e-commerce pilot operating in 68 stores in California on the Instacart platform. More importantly, the pilot has gone smoothly, and while early, we are optimistic about the future potential, and we plan to roll it out to all stores over the next few months. We believe these strategic initiatives are complementary to our measured and disciplined new store expansion. Our 2021 stores are off to a good start, which along with recent vintages are ramping consistent with their underwriting expectations. Our value proposition is resonating across geographies, and we continue to build and strengthen brand awareness in both mature and newer markets. For these reasons we remain confident in a long term unit potential of our differentiated new store model. They are committed to our goal of 10% annual unit growth. That said, as we mentioned on our last call we're experiencing near term challenges including labor and material shortages, extending the time in the cost to open stores. In addition we're seeing longer lead time in lease execution, as well as site permitting and development. As a result of these challenges we expect to open approximately 28 net new stores in the current year with two thirds of planned openings weighted in the back half. We believe these challenges are largely temporary, and we remain committed to resuming our 10% unit growth in 2023. We will provide further updates on our progress and timings as we move through the year. Lastly, I want to provide an update on our ESG efforts. For years, Grocery Outlet together with IOs has been positively impacting communities in a number of ways from providing great value to customers, fighting food insecurity, to reducing food waste and supporting small business owners. This year, we'll be taking our next step in our ESG journey as we complete materiality assessment with a third-party to determine the metrics we use to assess our social and environmental impact and track our future progress. We look forward to sharing these learnings from that assessment once it's complete. Before turning it over to RJ. I want to reiterate my confidence in the strength of our model and our long-term growth potential. I'm pleased that we've begun to see customer traffic turn positive, which I believe signals that value has become really important, harbinger [ph] for a more favorable macro environment for Grocery Outlet. As we move through the year, we are confident that our strategic initiatives will further drive customer reach and engagement. With that, I'll turn it over to RJ.
RJ Sheedy: Thanks, Eric. I would like to start by thanking our independent operators and their team members for their continued commitment to serving customers in their local communities. We remain grateful for their leadership and how they represent the Grocery Outlet brand each and every day. We are pleased with our performance in the fourth quarter and look forward to building on this success in 2022. Our supply pipeline has remained healthy and our inventory levels have positioned us well to start the year. We continue to remain agile, leveraging the flexibility of our assortment and supply chain to deliver great products and value to our customers. Ongoing supply chain disruption has resulted in order cancellations across the industry, providing an opportunity. One example was our purchase of 22 shipping containers of Holiday Butter Cookies, which we offer to customers at an 85% savings versus competitor's prices. We expect high levels of supply chain disruption to continue, and we look forward to helping suppliers with future inventory challenges such as these. Our flexible business model, combined with our strong supplier relationships provide a meaningful competitive advantage for access to product. We were pleased to have increased our opportunistic purchases in the fourth quarter, growing our business with some of our top suppliers in excess of 50%. This momentum has carried over to the first quarter with year-to-date purchases delivering great value to consumers and leading to healthy inventory positions. We look forward to further strengthening our supplier relationships at our annual supplier meeting later this month. This meeting provides a great forum to exchange ideas, discuss upcoming product pipelines and to procure opportunistic deals for the coming months. Our supplier partners are critical to our success, and we are always excited to engage with them on these topics. We also continue to see benefits from our focus on new supplier acquisition and development. We expanded our large supplier network, further increasing our flexibility and broadening our opportunistic assortment. In addition, we are able to stay on trend and offer innovative new items with our growing network of emerging brands. Turning to everyday assortment expansion. We added 275 new SKUs to our offering last year, providing a more complete shop for our customers. Item selection was informed by industry data, supplier conversations and operator and customer feedback. We are pleased with the added convenience that this provides to our customers, which we believe drives greater loyalty. Looking forward, we plan to add 300 more SKUs this year. We remain focused on growth categories such as NOSH, fresh, ethnic and local, and we expect this next phase of expansion to also contribute to higher end in transaction count. Turning now to inflation. We continue to manage higher product costs through our flexible pricing and buying model. As we have said in the past, our business uniquely mitigates the challenges of inflation and we are pleased with the value and margin we were able to deliver in the fourth quarter. First, we successfully moved in and out of items in between suppliers. This helped us both manage costs and deliver new items that contribute to the treasure hunt experience. Second, we took pricing up on select everyday items following competitive price increases. And third, in our opportunistic assortment, we made real-time pricing decisions that allowed us to manage sales and margin in a way that is unique to this model. Turning now to e-commerce. We are pleased with results from our Instacart pilot. Execution in our first two months has been very smooth and feedback from our operators has been positive. Our item fulfillment rate is healthy and customer satisfaction scores are high. While it is still early, we have already learned a great deal and are pleased with the initial customer response and larger baskets that are purchased online. As a result of this pilot success, we will be rolling out Instacart to all stores by the end of the second quarter. E-commerce is a great complement to our traditional customer acquisition efforts and we are excited for the potential to attract new customers and drive incremental sales. From a corporate marketing standpoint, we continue to utilize a mix of radio, TV and digital media to communicate the WOW! to consumers. We have strategically increased our spending on digital platforms and are focused on providing a consistent message of value and quality across a broad assortment to build brand awareness and drive traffic to our stores. In addition, our localized marketing tools have been well received by operators. We know that each store's market profile is unique and our IOs have deep knowledge of their customer's preferences. Our proprietary systems enable IOs to curate store-specific WOW! items that are then shown through connected TV, digital ad platforms and mobile display advertising. These tools enable a more personalized grassroots approach to help them grow their sales. As Eric mentioned, we are on track to begin a pilot for a new loyalty app this summer. This program will provide our customer's real-time item visibility to the many great deals within their local stores and will allow us to capture valuable data about their shopping behaviors. Customers that opt in will also benefit by receiving early access to popular events like our wine sale, as well as notifications when their favorite brands and products land in stores. We also plan to digitize our popular Win What You Save promotion, which will reinforce their total dollar saved from shopping at GO. In conclusion, I am more confident than ever in our powerful business model. Our unique access to opportunistic product combined with continued strong execution from our independent operator’s position us well for 2022 and beyond. In addition, our strategic product expansion, e-commerce and personalization initiatives provide new levers to increase share of wallet and customer reach. I will now turn it over to Charles to provide a financial update.
Charles Bracher: Thanks, RJ. And good afternoon, everyone. I will begin with a discussion on fourth quarter and full year results, followed by comments on our outlook for the full year and first quarter of 2022. We were pleased with our fourth quarter results, in particular, the sequential acceleration in top line trends we delivered versus the third quarter. Comparable store sales decreased 1.2%, ahead of our expectations, lapping an increase of 7.9% in the fourth quarter last year. While traffic trends were stable versus the third quarter, our comp sales declined versus the fourth quarter last year was due to lower traffic, partially offset by an increase in average ticket. Net sales were $782.7 million, as compared to $806.8 million in the same period last year, which included $53.3 million in sales in the extra week in fiscal 2020. On a 13 week basis, sales increased 3.9% for the quarter. Contributing to this growth was the impact of 35 net new stores opened in 2021 as we ended the year with 415 locations. We remain pleased with new store performance, which continues to be consistent with our underwriting expectations in both infill and new markets. We delivered strong fourth quarter gross margins of 30.9%, above our expectations and ahead of pre-pandemic levels. Compared to the fourth quarter of 2020, our gross margin increased 60 basis points as we leveraged our flexible purchasing model to offset headwinds such as inflation and higher freight costs, while maintaining our competitive value benchmarks. SG&A expense increased 1.5% to $200.6 million compared to the fourth quarter of 2020, reflecting increased store occupancy in IO commission expense related to new store growth, as well as the unplanned cancellation costs for our scheduled operator conference due to COVID. These increases were partially offset by reduced incentive compensation expense as well as lower expense based on a normal 13 week quarter compared to the prior year. G&A increased to $18.4 million, up 21% versus the fourth quarter last year driven by new store growth, existing fleet enhancements and upgrades, as well as continued capital investments in systems and infrastructure. Stock-based compensation expense was $7.6 million compared to $3.8 million in last year's fourth quarter due to the impact of additional grants in 2021, as well as current performance expectations related to our performance-based share awards. Net interest expense decreased 7.8% to $3.8 million versus the fourth quarter last year due to lower effective interest rates. Compared to our normalized tax rate of approximately 28%, we incurred an effective tax rate of 43% in the quarter, which equates to a 19.6% effective tax rate for the year. As a result of these factors, GAAP net income for the fourth quarter was $6.6 million or $0.07 per diluted share. For the quarter, adjusted EBITDA was $47.4 million, representing 6.1% of sales. Adjusted net income was $20 million or $0.20 per diluted share based on an average of 99.1 million diluted shares in the quarter. Turning to our balance sheet. Our liquidity remains very healthy as we ended the year with $140 million of cash and a strong inventory position. At the same time, we continue to invest in future growth as we deployed $114 million in net CapEx across new stores, reinvestments in the existing fleet, as well as enhancements to our technology and infrastructure platform. Looking ahead, we are excited about the momentum we are building in 2022. For the full year, we are projecting comp sales in the range of 4% to 5%, slightly ahead of our long-term algorithm. This reflects our confidence in the underlying strength of our model as well as contribution from our new initiatives. While we remain committed to our 10% long-term unit growth target, as Eric mentioned, we plan to open 28 net new stores in 2022 due to longer lead times in store permitting, development and construction. During the first quarter, we plan to open five new stores and closed one store for a net of four new stores. For the remainder of the year, we expect to open six, six and 12 stores for the second, third and fourth quarters, respectively, with no additional closures planned. Based on our comp sales and new store assumptions, we project fiscal 2022 sales of $3.33 billion to $3.38 billion. We expect gross margins to be approximately 30.6% for the year, in line with our historical performance. We will continue to leverage our flexible buying model to navigate the current inflationary environment while delivering compelling value to the customer. With respect to SG&A, as always, we are continuing to prudently invest in people, infrastructure and technology to support our growth and to drive efficiency over the long term. The percentage of sales, our SG&A forecast assumes modest leverage as we expect the store expense efficiency on comp sales growth will be partially offset by higher payroll, insurance and normalized incentive compensation expense versus the prior year. In terms of bottom line performance, we expect adjusted EBITDA to be in the range of $210 million to $217 million, and fully diluted adjusted EPS in the range of $0.92 to $0.97 for the year. In our earnings guidance, we have assumed D&A of approximately $76 million, stock-based compensation of approximately $30 million and net interest expense of approximately $17 million. In addition, we expect a normalized tax rate of 28% and average diluted shares outstanding of approximately $100 million for the year. We expect CapEx, net of tenant allowances, to be approximately $150 million for the year. This reflects our continued priority of building new stores, reinvesting in our existing fleet and continued investments in infrastructure, technology and supply chain capabilities. Turning to the first quarter. We are excited about the momentum that we've carried into the year. From a top line perspective, we are encouraged by quarters-to-date trends and expect first quarter comp sales growth of approximately 3%. Notably, quarter-to-date comp performance is coming from positive contributions from both ticket and traffic, which we expect to continue through the year. Based on our comp assumption and the addition of four net stores in the quarter, we expect first quarter sales of approximately $810 million. For the first quarter, we expect gross margin of approximately 30.3% as we are navigating the current cost environment while further investing in customer value. We know that our customers are increasingly feeling the pinch of inflation, and we are prudently balancing sales, margin and value. As such, we remain confident in our ability to manage towards our full year gross margin expectation of 30.6%. In regards to first quarter expenses, we expect some deleverage due predominantly to higher infrastructure costs including payroll, insurance and normalized incentive compensation, as well as costs related to our March supplier meeting, which didn't occur last year. As a result, we expect first quarter adjusted EBITDA margin of approximately 5.7%. In closing, I would like to extend my gratitude to our IOs and employees for their continued dedication and strong execution in overcoming the many challenges we encountered last year. Our team successfully navigated a changing environment by maintaining strong engagement with customers and leveraging the flexibility of our business model. Looking forward, we remain focused on driving long-term shareholder value by continuing to invest in our core business and strategic growth initiatives. And with that, we can turn it back to the operator to begin Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Kate McShane with Goldman Sachs. Please proceed.
Kate McShane: Hi, thank you. Good afternoon. My first question is just on the customer traffic, can you talk about when exactly the customer traffic did turn positive? And I know you mentioned that you expect the contribution of both traffic and ticket to your comp growth in 2022. But how do you see the cadence of that traffic as we go through the year?
Charles Bracher: Yeah. Hey, Kate, it's Charles. Thanks for the question. So with respect to traffic trends, as we mentioned in the first quarter here is really when we saw it turn positive which we feel good about, we think that's an encouraging sign for us. It really points to customers increasingly seeking out value. And then as we think about trends, traffic and it will transfer [ph] to the balance of the year, we expect that traffic will have a bigger impact as we move into the back half. And really driving that is the impact of our strategic initiatives, which across SKU assortment expansion, e-commerce and personalization should all be traffic drivers. Layering on to that as, again, the macro operating environment for us continues to improve and becomes more favorable as customers continue to feel the pinch of inflation and reduce stimulus, we think that will be a traffic tailwind as well.
Kate McShane: Great. And if I could just follow-up quickly with one additional question just in terms of what you've seen with any kind of new customer acquisition this past quarter. And if you could maybe update us on the stickiness of some of those new customers you've acquired over the last 18 months?
RJ Sheedy: Yeah. Hey, Kate, it's RJ. I can handle that question. I'd say in terms of customer mix and customer acquisition, continue to be pleased with the mix of customers coming to Grocery Outlet. See a nice mix of what we refer to as more core customers where we're gaining higher share of wallet and those that are maybe shopping us more occasionally on a tertiary basis. So the composition of new customers shopping us in recent months, I'd say, very consistent with what we've seen in the past and it's a healthy mix, just given that we're a unique shop and sort of different shopping needs for different customer segments. And then in terms of stickiness, we survey customers regularly and very encouraged by the feedback that we received from recent surveys, they are having a good experience at Grocery Outlet. They're pleased with the amount of money that they're saving, the treasure hunt experience is resonating with them. So all the things that we look at for - to determine health of the value proposition, if you will are healthy. And that, of course, bodes well for future share of wallet gain, as well as future trips. And then in addition to that, I'd point to some of these initiatives that we're well underway with as making us even more relevant and compelling to consumers. As we continue to expand the assortment, you will look at that as a nice basket builder and then future trip driver. We've seen some nice acquisition from this initial e-commerce pilot. And as we look to roll out to all stores here consider that to be an additional customer acquisition vehicle really reaching a segment of population that we had not yet previously tapped into. And then as it relates to personalized marketing and an app for consumers, we've talked in the past about the high levels of engagement consumers have with our WOW! alerts and other marketing efforts. We expect and believe that once we get personalization up and running, that engagement will be even higher still. So all of those things incremental or additive to what already is a very sticky and positive customer experience.
Kate McShane: Very helpful. Thank you.
Operator: Our next question comes from Simeon Gutman with Morgan Stanley. Please proceed.
Hannah Pittock: Hi. This is actually Hannah Pittock on for Simeon Gutman. Thanks for taking the time. I am wondering if you are seeing in your new customer acquisition and existing customer behavior any signs of kind of trade down into the discount or specialty channel that you are operating in or any trip consolidation. Basically, any trends to suggest that you are either benefiting from a trade down dynamic post stimulus or kind of acquiring more of those low income consumers. Just anything on that outlook the matter [ph]
RJ Sheedy: Yeah. Hi, Hannah, it's RJ again. Yeah, in regards to our profile or change in consumer behaviors, I'd say, we're very pleased with positive transaction count quarter-to-date. We - certainly, our consumers are making different choices these days in light of inflation, in light of stimulus having largely expired, and as time has moved by here, a lot of the excess savings having been spent or being spent. So we think on those macro trends are now turning more to our favor where there have been more headwinds for us in the past. We do know that many consumers, as I mentioned, they are making different choices, whether it's the items that they buy, the categories or where they shop and for those that are making those decisions about where they shop, we're offering the best value in grocery retail compared to anyone. So really positioned well in that regard. For us, the focus continues to be on delivering great value, continuing to maintain healthy inventories continuing to deliver the treasure hunt experience. And then the operator continuing to do what they do, connecting with customers in a very personal way, creating a great shopping environment through merchandising efforts and the care and intention they take to running their stores and all of those things uniquely combined to the value proposition that we offer to customers. So, like where we're positioned and believe that consumers will continue to look for better value in food retail and starting to feel some of that positive momentum as we've started off the year here.
Hannah Pittock: Makes sense. Thank you.
Operator: Our next question comes from Michael Lasser with UBS. Please proceed.
Michael Lasser: Good evening. Thanks a lot for taking my question. How does inflation factor into your forecast for [indiscernible] 4% comp forecast for 2022? And how does it compare to what you experienced in the fourth quarter?
Charles Bracher: Yeah. Hey, Michael, it's Charles. Let me provide a little color there. So our assumption in our comp forecast is that inflation remains elevated throughout the year. Keep in mind, for us the inflationary impact is a bit different than for others. We've always described the impact is more muted because of our model, specifically the fact that we've got a change in assortment, which makes the year-over-year comparison a little bit more challenging. Mix adjustment by department versus others that might have a full service meat department, for example. And then, of course, as we talked about, we're laser-focused on value. We do think that becomes more important in the current environment. Again, as the consumers are really feeling the pressure there. So near term, as we said inflation has really been a benefit to ring. Longer term, I think that it will benefit traffic as well as customers increasingly seek out that value.
Michael Lasser: And then my follow-up question is, given that your gross profit dollar growth was pretty strong, and you split those gross profit dollars with your IOs. Is that relieving some of the pressure that your IOs are feeling from experiencing from very high labor rates and other pressures on their businesses right now?
Eric Lindberg: Yeah. Hey, Michael, it's Eric. I would say that the IO mentality today is very optimistic. 2022, having gone through what they went through, which is a challenging operating environment in the last 18 months, 2 years. They are looking forward. Product is feeling good. We're balancing the right values. We've got good set of initiatives, and certainly a few extra dollars coming in on the top line commission will help a lot. I wouldn't say they're out of the woods in terms of kind of the labor challenges. But in terms of optimism and looking forward, they're definitely greenlight ahead and I'm very optimistic about the year.
Michael Lasser: Thank you very much. And good luck.
Operator: Our next question comes from John Heinbockel with Guggenheim Partners. Please proceed.
John Heinbockel: Hey, guys, I just want to start with what have you seen, what is your IOs seen with turnover, right, in this labor environment and the impact of that on how you would measure service, right, whether it's in stock and other service scores that they or you would measure, have you seen any change in that?
Eric Lindberg: Hey, John, Eric. No, we really haven't. It has been a challenged environment. I would say the average operator is operating at below their normal capacity in terms of how many people they would like to have working versus who they do have working. Keep in mind, these are working owners, so they've absorbed some of that pressure themselves working more hours, they've given some of the best people in their stores over time and access to more days in the rotating schedule. So they've been able to keep up with it. We track a lot on the back end in terms of customer experience. We haven't seen a measurable drop in the CSAT scores that we measure and see. And then we just stay very close to operators around what they are seeing here and now and some of the trends in Q1 are positive in that applications coming into stores, seem to be coming in and people seem to be walking and looking for work where that was not the case, certainly last year going into the second half.
John Heinbockel: And then maybe as a follow-up, if you think about the improvement you guys expect, right, during the course of the year, right in comp momentum, which could be 200 to 300 basis points. I'm going to guess you probably say that's more skewed to micro, right, your self-help - your initiatives as opposed to macro. But how do you think that plays out? And then on the initiative piece, how would you rank those, right? You talked about assortment, personalization, e-commerce, which one is the most impactful factor of the three?
Charles Bracher: Yeah. Hey, John, it's Charles. Let me try to tackle that. So we haven't broken out the impact of what we expect these new initiatives to drive the comp. As we said, we're excited about them, but admittedly, it's still early. So there's a lot that we don't know. We do think as these things take hold in the second half of the year, they will begin to contribute to comp. But I think even more broadly, we're really excited about the long-term impact of these initiatives once they begin to bear fruit.
John Heinbockel: Okay. Thank you.
Operator: Our next question comes from Krisztina Katai with Deutsche Bank. Please proceed.
Krisztina Katai: Hi, good afternoon. Thanks for taking our question. I just had a question on new store growth, which obviously is a pretty meaningful part of your story. Can you talk a bit more about what you are seeing from a real estate equipment availability and a cost to build perspective? Is the cost to build new stores starting to creep up with higher cost of raw materials and equipment? And could that potentially impact your new store economics?
Eric Lindberg: Yeah. Hey, Krisztina, Eric, I'll tackle that one. Look, we're pretty excited about what we did last year, given the challenges, all the headwinds you've read about things we're experiencing, supply chain, construction, just deal making, permitting development, everything has been a little bit slower. We think that will pick up somewhat this year. We think the costs we've got baked in and the assumptions around the model are fine. It's going to be a temporary increase in what we have to pay. We think those will abate. The biggest drivers for us in the sort of long range return model is really the top line and what we're able to drive gross profit margin dollars through the model, not so much the cost of the unit. That said, we have seen some temporary cost increases, we've seen those go up and come back down, but stay a little bit elevated. But we're pretty confident that we'll be able to absorb those in the model as we've got it underwritten.
Krisztina Katai: Great. And if I could just follow up, you k now, thinking about your value proposition resonating with consumers in a toughened inflationary environment. Maybe if you can just talk about your price gaps relative to your peers, has that changed? Has it gotten wider as we see conventional grocers? They all seem to be passing on most of the cost increases. And from your vantage point, are there any changes in the overall competitive landscape that you have started to notice or is it relatively unchanged?
RJ Sheedy: Hey, Krisztina, it's RJ. Yeah, let me elaborate a little bit more on how we're handling inflation. First thing I'll say, really proud of the team for how we're navigating the current inflationary environment. It's - there's a lot happening these days. We do continue to see higher costs coming through from suppliers for all the reasons that whether it's ingredients or packaging or labor, freight, it's pretty much across the board. I'd say that we - we're following the same strategy that we have in the past recently and in prior years. It does continue to serve us well. And we do believe we're uniquely positioned to mitigate these inflationary challenges. And as mentioned in our comments, the first course of action for us is to look for where we can deliver the best value and a healthy margin and for the right items for the consumer within the assortment. So we continue to move between items and suppliers. Our diversified supplier base is really beneficial in times like these, relationships with thousands of suppliers, and so that has served us well. More specifically to pricing, where competitors pricing has moved up, we are fast to follow. We have been doing that. You asked about value. It's first and foremost, for us, is maintaining consistent value deltas across I'll say, many different metrics that we track. And we think about just a few examples, we think about basket savings, continuing to deliver that 40% value to conventional grocery retailers. We look at sales percentages at even higher save up to levels, different tranches, if you will across save up to values. We think about value delivered for everyday items. We think about value delivered on the opportunistic side as well. And all of those metrics are healthy. And we think those are serving us well as we measure transaction trends and how well the value prop is resonating with customers. And then lastly, I'd say for opportunistic products, we're very unique in that, we're managing pricing and making decisions between value and margin and item decisions within the assortment every single day. And so a lot of agility there to strike the right balance and how that all comes together. So yeah, really pleased with the value that we're offering, feel confident in continuing to be able to manage consistent margins. And again, in times like these, while those deltas, I'll call them consistent on an absolute dollar basis, they are more meaningful to consumers because everything is more expensive and those dollars saved are a big deal. They are always important, but I'd say an even bigger deal now. So we continue to keep the focus there, and that has and will continue to serve us well.
Krisztina Katai: Thank you so much. And best of luck.
RJ Sheedy: Thank you.
Operator: Our next question comes from Michael Baker with D.A. Davidson. Please proceed.
Michael Baker: The EBITDA margins is going to be down 80 basis points from the first quarter, but then you are talking about flat to down maybe 10 basis points for the year. What gives you the confidence that it gets better? And then if you end the year in monetary [ph] guidance of 6.3 to 6.4, that's below the - you average - you were between 6.6% and 6.7% from - for the 4 years prior to the pandemic. When and why can't you get back to that level?
Charles Bracher: Yeah. Hey, Mike, it's Charles. You cut out there on the first part of the question, but I think I got the gist of it. So yeah, as you point out, our adjusted EBITDA guidance for the year implies a bit of margin compression more so in the first quarter of the year. I'd say the general themes across EBITDA margin for the year would be kind of the flow through of some moderation in terms of gross margin rate as we're navigating the cost environment and obviously, as RJ described, focused very much on value to the customer. Offsetting that will be a bit of a tailwind from an SG&A perspective. So we do expect to get some store leverage on the positive comp. However, that's offset by the headwinds of lower unit growth, as well as higher infrastructure costs year-over-year, things like payroll, incentive compensation and insurance. So again, more than that all the way down, we think for the year in total, that will result in some modest deleverage with respect to EBITDA margins more so in the first quarter of the year. But as we sort of exit the COVID environment, we do expect that we'll return to normalized EBITDA margin rates going forward, consistent with our long-term algorithm.
Michael Baker: Okay. And then a second follow-up question is on Instacart and the 68 stores that you've seen or that you have and I should say, what kind of comp lift are you seeing, what gives you confidence that this is a incremental sale rather than cannibalistic, et cetera? Thanks.
Eric Lindberg: Yeah. I think we have a hard time putting a finger on the exact comp, but just let me walk you through some of it. From our perspective, we think it's a pretty independent customer from customers in our stores. From survey work we've done about people spending money online. We know that a lot of the marketing that's come through Instacart has been to their customers. So we know a lot - just fresh faces coming in the store. Feedback from the operators has been really, really positive. I'd say the customer satisfaction scores are very high because the fulfillment rates there, we think because the values are there. They're shopping more in terms of basket size, it's larger than the in-store basket, which is good. And we think we're gaining some incremental customers. We just haven't shopped us before, again, majority of them are Instacart customers, and we hope to convert them because of the model and be able to show them the WOW! shopping experience but do it online. So pretty excited about it. We'll start rolling it out in Q2, balance of the stores and keep you guys up to date on what we're seeing.
Michael Baker: Okay. Fair enough. Thank you.
Eric Lindberg: Thanks.
Operator: Our next question comes from Karen Short with Barclays. Please proceed.
Karen Short: Hi. Thanks very much. I just wanted to follow up on that last question on EBITDA. So obviously, you've highlighted what will cause some of the EBITDA margin compression in 1Q, but as we look to 2Q to 4Q, significantly less compression. So maybe you could just give a little bit of color on why you think there will be such a meaningful improvement, I guess, in that metric in…
Charles Bracher: Yeah. Hey, Karen, it's Charles. Yeah. Thanks for the question. So I think the big difference when you think about first quarter EBITDA margins versus the balance of the year, probably two thirds of the deleverage that we would expect to see in the first quarter is really coming from gross margin rate. And then the balance of it coming from expense deleverage, payroll, incentive compensation. We also - as we mentioned in my in my comments, the impact of our supplier meeting, causing some deleverage in the first quarter relative to the balance of the year. But as we move through into Q2 and into the back half, again, we expect to see a more normalized gross margin rates, and then we start to see some more store expense leverage in terms of SG&A that's helping to offset those higher infrastructure and payroll costs.
Karen Short: Okay. That's helpful. Thank you. And then just wondering, with respect to your comp for next year at the mid-point. So I guess, when we look at 2 year, we look at 3 year, you know this ongoing like which number of years comparison we should be looking at is a constant challenge. But if I look at your 3year comps, that would get me to kind of 11.5% versus what you would have been pre-pandemic at about 14.5%. So I guess wondering when you think you might get to more of the pre-pandemic performance. And why wouldn't that be happening this year, especially given the challenges the consumer will be facing?
Charles Bracher: Yeah. I think - so Karen, it is a matter of, I think, continued trip consolidation. We're seeing that. We believe the early signs that, that continues to - is beginning to abate. But that really is the factor that's driven some of the sequential stacked comp impacts. And so as we think about the balance of the year, again, that should start to move in our favor. And then as we emerge from COVID, I would expect that, that becomes more of a tailwind we see the stacked results begin to normalize.
Karen Short: Great. Thank you.
Operator: Our next question comes from Robby Ohmes with Bank of America. Please proceed.
Robby Ohmes: Hey, guys. Two quick follow-up questions, one is just how exactly is does Instacart work with the IOs, like how does it work? Because they - I think they all have somewhat different assortments, I mean, not gigantically different. I was just curious how the process works? And isn't it a burden on them or are you guys handling it? And then just the second quick one, how are - are the applications for people to become IOs changing for the better or worse in the environment that we're going into? Thanks.
Eric Lindberg: Yeah. Hey, Robby, I'll take that last one first. No, not changing for the worst, increasing top line funnel still over 20,000. I would say, look, the opportunity, the prospect to have your own business work with your family have an unlimited potential for earning and have that be derived by your work, your hard work and the ability to sort of impact the community. That's a dream that a lot of people have, and we continue to see people knocking on the door, so that's great news. Relative to e-commerce, Instacart, we've handle all the technology within Instacart that works really well. We plugged in the same technology we use for are WOW! alerts. So each store has an individual inventory, and we're able to set thresholds and controls that won't show the customer things that are in limited supply. So there's a high hit rate. And in terms of the operator, they just need to run their store. They don't even really know someone's in their store from Instacart. They may recognize a shirt or a credit card they pay with. But they're just taking care of customers. We've been able to do this on a price markup basis. So in terms of margin, rate neutrality it's there. So we're definitely on the same page with the IO that it can work and it is working. And I'd say they're pretty excited about it.
Robby Ohmes: That's great. And maybe just one more, historically, when gas prices go really high and stay high, what - is that good for you guys as well?
Charles Bracher: Yeah. Hey, Robby. I'd think about gas prices along with inflation and just things that consumers are spending money on and then creating this heightened sensitivity or need for value. So put it in that same bucket of it's hard, right, and getting harder for consumers to just afford things, and food being a necessity and healthy food, really important. So we view that as a tailwind, so to speak, along the same lines as inflation. So I think that probably helps us.
Robby Ohmes: Got it. That's really helpful. Thank you.
Operator: Our next question comes from Bill Kirk with MKM Partners. Please proceed.
Bill Kirk: Hi. I have another one on comp composition, so traffic positive, inflation positive. Does that imply basket volume is flat or negative in 1Q and the 2022 guidance?
Charles Bracher: Basket volumes. So the ring is positive, Bill. This is Charles for the first quarter. So again, traffic has turned positive. But the bigger driver in the first quarter continues to be ring. We think that as we move through the balance of the year, again, traffic becomes a more meaningful contributor.
Bill Kirk: And is that ring positive, excluding inflation?
Charles Bracher: Is it positive, excluding inflation? It's - yeah, from an AUR perspective, it's up. It is not up as much as inflation. UPT is down for a couple of reasons. Number one, units in the basket we're comparing against a COVID-elevated base. And number two, back to the fluidity of our assortment, it makes it a little bit challenging year-over-year to have direct comparisons. That said, important to note that units in the basket is up versus 2019 levels, which, again, for us points to the continuation of trip consolidation.
Bill Kirk: Perfect. That's exactly what I was going for. And then as a follow-up, it doesn't look like you've used any of the new buyback program, the $100 million program. I think you said it was going to be used opportunistically. So I guess maybe could you share some of the criteria you'd look to put that program into use?
Charles Bracher: Yeah. We actually - we have put it to use. We established it in the fourth quarter put the program in place. And as we said when we did it, we like having another tool we can use to deploy capital. And as we mentioned, we be prudent with how we repurchase shares. We are doing that here in the first quarter, so we've begun to buy back shares opportunistically, and we will report on the specific number at quarter end when we file our Q.
Bill Kirk: Okay, perfect. Thank you.
Operator: Our next question comes from Scott Mushkin with R5 Capital. Please proceed.
Scott Mushkin: Hey, guys. Thanks for taking my question. So I just wanted to - I think you went into some detail about product availability in the opening comments. But I just wanted to kind of get some more color around that. I mean we just had like Smucker's [ph] report today, and they're having a real hard time producing like dog food. So we've heard from a lot of the CPG guys that they're just really having a hard time. And I've been in some of your stores lately and like there is definitely tons of products, that's not a problem. But there is like products that used to be there, maybe not the same size aren't there anymore like Cheerios, just not there. So I was wondering if you could give us a little color around that, how it's impacting your business and what you can do going forward, do you expect it to continue? So any thoughts around that would be great.
Charles Bracher: Yeah, sure. Hey, Scott. Yeah, I'd say a few things on that topic. First, by its nature, this is a cyclical business. And to your point about Cheerios, we buy product opportunistically by definition, we don't have it on a consistent everyday basis. We have half the assortment that we call every day, half is opportunistic. So - and you understand that there's just a - there's an in-out nature, which fuels the treasure hunt in how we buy, how we operate. That said, yeah, we are very encouraged by the pipeline of opportunistic products. We continue to see healthy lists and opportunities from our supplier partners. We do cycle, and as mentioned, we're always between suppliers and categories, not necessarily consistent, nut overall, very, very healthy. We've seen nice increases with some of our largest suppliers, and so that feels really good. Really good momentum, healthy inventory positions as we finish the year, which is carried forward to the beginning of the year as well. And so as we think about future on order or looking at in-stock positions on the everyday side despite the headwinds that exist, feeling really good about that. The team has done a fabulous job of staying in close contact with suppliers. We're actively traveling. We've been doing that for a while now. So being together with them face-to-face, we mentioned our annual supplier meeting here coming off. So a great opportunity for us to spend more time with suppliers. And I think despite the - some of the production challenges and issues that CPGs continue to face, whether it's labor-related or transportation, there is still plenty of activity that's fueling opportunistic supply. Product innovation, is still alive and well. You had a lot of investment in digital capacity. Yes, demand is still high, but those - that capacity and production has come online. You've got a lot of adjustments to portfolios and SKUs, whether it's to meet consumer needs and behaviors with sustained cooking at home, health and wellness trends or maybe inflation related. We've seen some of that as well, packaging changes, size changes impacting supply and predictability of inventory and space in our supplier partner warehouses. So lots of things contributing to breadth and depth of offers that we're seeing. And for us, always the focus remains on how we can be the best partner to the suppliers that we work with to help them with these challenges, how we can continue to push on strategic relationships that we have and we'll be there to help them as these opportunities continue to arise.
Scott Mushkin: Thanks for all the color. I had just one follow-up to what you said and something we said earlier. I think you said you had 275 SKUs added to kind of regular product just there every day, and they're going to add another 300 this year. I guess now you're up to about 50-50 always there, not there. How do you see this changing your business model over time? Or maybe there is no change, but it does seem like that number continues to creep up and the consumer maybe has more expectations of the products, a good chunk of products being there all the time. So how do you think the business model plays out with that element going on?
Charles Bracher: Yeah. So strategic SKU expansion has been a long-term initiative for us. We've been doing it for a long, long time now. We expect it to continue to be part of future growth and evolution. And as we've added items over the years, they've added convenience to the customer. It's a great basket builder initially. It does drive trip frequency over a longer period of time as customers come to know and expect to find these items in our stores every day. So view it as both a basket builder and a trip driver. And makes us more compelling and relevant, and we have lots of previous examples at the category level. If you were to go back further in time, fresh seafood, going back further still, I think talk about NOSH as a category. Go further back, still fresh meat progress some of these items that are a little more everyday weighted that 20, 30 years ago weren't part of the offering. So it's really expanded our reach has broadened our customer appeal and it's created this really nice blend, full shop and value across the whole store. So it's been a really important part of our growth story and the recent 275 and 300 planned this year and then think about years ahead, we expect it to continue to play a really positive role there.
Scott Mushkin: Perfect. Thanks. Appreciate it.
Charles Bracher: Welcome.
Operator: We have come to the end of the Q&A session. At this time, I would like to turn the floor back over to Eric Lindberg for closing comments.
Eric Lindberg: Thanks, everyone. I appreciate your time today and your questions. We look forward to connecting with you each over the next couple of hours, and have a good night. Thanks.
Operator: This does conclude today's teleconference. You may disconnect your lines at this time. And thank you for your participation.